Operator: Greetings and welcome to the MYOS Corporation Quarterly Update and Management Highlights Call. At this time all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. At this time I would like to remind our listeners that remarks made during this call may state management's intentions, hopes, beliefs, expectations or predictions of the future. These are forward-looking statements that involve risks and uncertainties. Forward-looking statements on this call are made pursuant to the Safe Harbor provisions of the Federal Securities Laws. Information contained in the forward-looking statements is based on current expectations and is subject to change and actual results may differ materially from the forward-looking statements and as a result, you should not place undue reliance on any forward-looking statements. Some of the factors that could cause actual results to differ materially from those contemplated by such forward-looking statements are discussed in the periodic reports, MYOS Corporation files with the SEC from time to time. These documents are available on the MYOS corporate website at www.myoscorp.com and SEC website and we encourage you to review these documents carefully. Joining me on the call today I have Peter Levy, President and Chief Operating Officer of MYOS, he’ll provide an operational overview and commercial update and Chief Medical Officer, Dr. Robert Ashton will provide a clinical overview. Joe DosSantos, the company's Chief Financial Officer will discuss the quarterly results. Following the final prepared remarks, we will then open up the call for a question and answer session with the MYOS' management team. At this time, it is my pleasure to turn the call over to Peter Levy.
Peter Levy: Hello and thank you for joining us for this important telephone update call. On behalf of both the MYOS management team and the MYOS Board of Directors, I personally thank our loyal, longstanding base of investors and the growing support that MYOS is experiencing on Wall Street. This past quarter a critical preparatory period for MYOS has been the launch of our proprietary line of muscle health bio-nutrition products under the new ReMuscleHealth brand while the research and development team at our company has been leveraging their expertise in MYOS stand regulation in developing new nutrition and therapeutic products. We close the year end Q4 by making the major decision to take control of our product line and our revenues by extricating MYOS from distributor relationships and exclusive channels. Although these distributors had initially served a key purpose improving the early validation of activity in safety of our patented product Fortetropin, these relationships with distributors limited MYOS’s ability to fully exploit the rich commercial opportunities for the world's first, all natural clinically-proven muscle building product. The first quarter of 2015 opened an important chapter in the history of MYOS with the announcement of our newly branded unique ReMuscle series, an amazing product line of Fortetropin based products that are designed to rebuild, rejuvenate and result in increase new muscle. With ReMuscleHealth, MYOS has set to launch the best testing, clinically proven non-GMO all natural supplements in the market today. I am pleased to announce that after a soft launch, established to take pre-orders, test the fulfillment system and ensure quality assurance, MYOS is very pleased to begin shipping our new line of ReMuscleHealth products this week. Our new flagship product, the ReMuscleHealth protein bar in both chocolate and in peanut butter, provides the unique attributes of taste protein, myostatin inhibition, combined with real science, helping all of us fight the life-long battle against muscle degeneration. But more importantly tied to the bio-nutrition piece of MYOS it’s our renewed emphasis on research, development, and bio-therapeutics. Dr. Robert Ashton, MYOS's Chief Medical Officer will share with you what has been achieved in research and development and a steady progress that MYOS has made we continue to work with the most renounced human performance lab for muscle health and our newest clinical study is based on hypothesis that if proven should establish a gateway to help many more people receive the benefits of Fortetropin, make no doubt about it from our founder Dr. Robert Hariri, to our scientific adviser board to our internationally recognized research Myos' role and leadership and science and bio-therapeutics is here to stay. After you hear from Dr. Ashton on our clinical developments, and then from our Chief Financial Officer, Mr. Joseph DosSantos, on our financial, I would wrap up by sharing with you our key milestones and goals for Myos. And now it is my pleasure to introduce Dr. Robert Ashton, Myos' Chief Medical Officer. Rob?
Robert Ashton: Thank you, Peter. Good morning everyone. I would like to give you the medical and scientific updates on Myos. First on our partnership with Cloud Pharmaceuticals, using the proprietary inverse design platform, utilizing Cloud-based high performance, computational technologies to design and synthesize new drugs with high degree of specificity for their targets Myos looks to built the pipeline of small molecules to directly muscle related conditions and diseases such as sarcopenia and dyslexia, all researches uncovered connections between muscle health and inflammation. Myos believes that lean body mass may be one of the most important parameters for chronic inflammatory conditions and consequently inhibiting certain signaling event and information may be related to muscle health. Currently, we are synthesizing Jak-3 inhibitors that target the inflammatory process which is an important component of muscle wasting conditions and diseases. Additionally a strategy for formulating small molecules and peptide that target the myostatin pathway is currently in process. Myos is also initiated a dose response clinical study of Fortetropin in modestly were just in trained subjects study led by Jacob Wilson a Ph. D. professor of Health Sciences and Human Performances at the University of Tempa, who will examine the affects of Fortetropin supplementation on plasma myostatin levels at various dosing levels. The study will help better define the dose response curve and provide clarity about the minimum effective dose of Fortetropin on serum myostatin. In the double planted placebo-controlled study, it is [indiscernible] have each subject randomized in four groups of three different dosing levels of Fortetropin and the matching placebo. We are looking for to interesting 2015 as a scientific team continues to build on our current knowledge of Fortetropin and looks for new targets to combat muscle conditions and diseases. With that I hand it over to Joseph DosSantos, our Chief Financial Officer. Thank you.
Joseph DosSantos: Thank you, Rob. Good morning everyone. Before I begin the review of our financial results for the first quarter, I'd like to point out that we filed our 10-Q this morning. Please refer to our 10-Q for details of our operating results and financial condition as of March 31, 2015. The 10-Q is available on the company and SEC's website. Net sales in the first quarter of 2015 were minimal. As we continue to shift our commercial strategy away from exclusive distribution relationships to developing and launching our own proprietary brand. Our strategy remains focused on creating an emerging sales platform to e-commerce sales of our ReMuscleHealth portfolio of products and strategic selections of partnerships and collaborations to maximize near term and future revenues. We had just launched our ReMuscleHealth products and I am happy to say the launch is going according to plan. Our website www.ReMuscleHealth.com is fully functional. We have begun receiving orders and we are shipping product. Overall user feedback has been positive and the site has experienced a high level of traffic. The next phase of the launch which we are now beginning involves creating brand awareness through digital advertising, social media amplification and search engine optimization. Moving to operating expenses, total operating expenses in the first quarter of 2015 were $1,529,000 in line with the prior year period of $1,564,000 included in the current year period, were R&D and SG&A expenses of $189,000 and $1,288,000 respectively. R&D expenses decreased to $145,000 primarily due to lower cost associated with academic and industry research programs. We will continue to invest in R&D activities and that enhancing our products, optimizing manufacturing and broadening our product portfolio. SG&A expenses increased to $158,000 due to ReMuscleHealth product development and launch readiness cost as well as increases in certain general and administrative cost offset by lower cooperative advertising and sales commission cost. Please refer to the NBNA contained in our March 31, 2015 10-Q for further information about operating expenses. Net loss for the first quarter of 2015 was $1,529,000 or $0.50 per share compared to $422,000 or $0.16 per share for the first quarter of 2014 per share results are based on weighted average shares outstanding of $3,84,000 for the first quarter of 2015 compared to $2,703,000 for the first quarter of 2014. Turning to the balance sheet, we ended the quarter with $590,000 of cash, $3,356,000 of working capital and no outstanding borrowings. Cash decreased $977,000 compared to yearend due to cash used in operations. In April we borrowed the full $500,000 available under our revolver which matures August 31, 2015. We are evaluating various public and private financing and strategic transactions. For more information about our liquidity please refer to Note 1 of the notes to consolidated financial statements contained in our 10-Q. With that I'd like to turn the call back over to Peter.
Peter Levy: Thank you, Joe. All of you should expect a lot from Myos as we have expected of ourselves. Launching ReMuscleHealth is just the beginning. We have entered into saving, collaborative agreement with Media Horizons. We envisioned Media Horizon as the finest marketing and advertising partner making ReMuscleHealth the leader in e-commerce. Our crew strategy of reaching earlier doctors and innovators will push sales of ReMuscleHealth forward. We have invested in plan that includes heavy use of social media, excellent search engine optimization and key integration with the leading health and wellness websites of the internet. We will continue to use the content on our site, continue to educate the consumer on muscle health and related diseases and conditions such as sarcopenia, awareness and understanding are critical to future success of Myos and the ReMuscleHealth series product line. Myos is committed to a strong sales future that is built on a variety of retailers, strategic private label opportunities and distributors in discrete channels. First, we will exceed and excel in e-commerce. Second, the irons are already in the fire and we are evaluating our best opportunities for retail growth. On a scientific front our efforts in small molecule technology and advancement continue and we have prepared a clinical platform that will reinforce Myos' position at the convergence of dietary supplements, pharmaceuticals and functional foods. For new study at Dr. Wilson’s Human Performance Lab, is both exciting, while representing a new path for more people to gain healthy muscle. By using our science and the success of Fortetropin to build Remuscle, All Myos need is for the general public to understand the importance of muscle health to both longevity and the quality of life. And now it will be our pleasure to answer your questions. With that I would like to turn the call over to our operator for our question-and-answer session.
Operator: [Operator Instructions] Our first question is from Steven Peter a private investor. Please proceed with your question.
Q - Steven Peter: Hi, gentlemen, I have the order and I have received [indiscernible] peanut butter bars which by the way are excellent and my question is do the bars have the same dosage of Fortetropin as the powder?
Peter Levy: That's a great question. I mean I am going to ask Dr. Ashton to answer it for you. Thank you.
Robert Ashton: Yes all of our products have the same dose of Fortetropin 6.6 grams or the bars, the meal replacement and the beverage, they are all equivalent to a single dose of 6.6 grams, the difference is between everything is the protein amounts and the meal replacements beverages and the bars also have an additional 20 grams of protein and the powder form only is flavoring and Fortetropin.
Steven Peter: Wonderful. Thank you very much gentlemen.
Operator: [Operator Instructions] There are no further questions. At this time, I would like to turn the call over to Mr. Peter Levy.
Peter Levy: I would just like to thank everyone for participating in this call and further more the Myos management team is available to all of you at any time should you want to reach us please feel free to contact any of us Dr. Ashton, Mr. DosSantos, myself at 973-509-0444 we will be happy to share any information that we can with regard to Myos and the goal that we have set for this company. Thank you all for your time.
Operator: This concludes today’s teleconference. Thank you for your participation. You may disconnect your lines at this time.